Operator: Greetings, and welcome to the Juniper Networks First Quarter 2014 Financial Results Conference Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. I would now like to turn the conference over to Ms. Kathleen Nemeth, Vice President of Investor Relations. Thank you, Ms. Nemeth. You may begin.
Kathleen Nemeth: Thank you, operator. Good afternoon, and thank you everyone for joining us today. Here on the call are Shaygan Kheradpir, Chief Executive Officer; Robyn Denholm, Chief Financial and Operations Officer; and Rami Rahim, Executive Vice President, Juniper Development and Innovation. Please remember when listening to today’s call that statements concerning Juniper’s business outlook, economic and market outlook, strategy, future financial operating results, and overall future prospects are forward-looking statements that involve a number of risks and uncertainties. Actual results could differ materially from those anticipated in these forward-looking statements as a result of certain factors, including economic conditions generally, or within the networking industry, changes in overall technology spending, and spending by communication service providers and major customers, the network capacity requirements of service providers, the timing of orders and shipments, manufacturing and supply chain constraints, variation in the mix of products sold, customer perception and acceptance of our products, rapid technological and market change, litigation, the potential impact of activities related to the execution of Juniper’s integrated operating plan, and other factors listed in our most recent 10-K and the press release furnished with our 8-K filed with the SEC today. All statements made during this call are made only as of today. Juniper undertakes no obligation to update the information in this conference call in the event facts or circumstances change after the date of the call. The purposes of today’s discussion we will also review non-GAAP results. For important commentary on why our management team considers non-GAAP information a useful view of the Company’s financial results, please consult the press release furnished with our 8-K filed with the SEC today. For the detailed reconciliation between GAAP and non-GAAP results, please see the Investor Relations section of our website. We’ve extended today’s call to an hour and a half in order to accommodate more questions. With that, I’ll turn the call over to Shaygan.
Shaygan Kheradpir: Thank you, Kathleen, and welcome to all of you who are joining us on today’s conference call and webcast. I joined this iconic company, because I saw a unique opportunity to optimize the organizational’s phenomenal assets, deep customer relationships, great technology, and fantastic people to address our customers’ most pressing needs, high performance, agile, secure, automated, context-aware networks all delivered in an open framework. It is also my belief that we can deliver improved results for our shareholders by working in a more efficient structure with greater customer connectedness and accountability for performance. These are the areas I’m going to cover with you today. First, a review of our quarterly results, and second, an update on our IOP and the steps we’ve taken to achieve our stated target of $160 million in annualized OpEx savings. Our quarterly financial results demonstrate that we are on our way. On a year-over-year basis, we delivered 10% revenue growth and expanded our non-GAAP earnings per share by 21%. And we achieved this while creating our integrated operating plan and kick starting an execution. In addition, today AT&T announced that Juniper has been selected as a strategic vendor to help deliver their Domain 2.0 vision to deploy a User-Defined Network Cloud. This is an honor for our company and one I know we are all very proud of. I want to recognize our team that collaborated so well across the company in support of AT&T. Clearly, this is an exciting and important time for us as a company and I am thrilled to be on this journey with my colleagues around the world. I am pleased with our Q1 2014 results, which reflect continued momentum in the business. Importantly, our revenue was well-diversified. We saw continue demand from our service providers across Web 2.0, cable and carriers in all geographies, as well as from the Americas Enterprise customers, reflecting significant opportunity to capture share in the meaningful, high-growth segments our Cloud-Builder and High IQ networking across the globe. Robyn will give you more color on the quarter in a moment, but before she does so, let me share with you the progress we’re making related to IOP. I am very impressed with the thoughtful and disciplined approach the team has taken to ensure the success of our IOP. We have already demonstrated our ability to execute quickly as one unified organization, or what we call one Juniper. I want to thank all of my colleagues around the world who have been responsible for implementing this plan and delivering the outstanding results this quarter. So, here is an update on our progress across the four dimensions of IOP. First, we have sharpened our strategic focus on the highest growth opportunities in the networking as customers migrate to best-in-class cloud environments and High IQ networks. The demand for highly scaled, sophisticated, secure, automated, context-aware networks and cloud environments requires the ensemble of agent core routing, switching, security, virtualization capabilities and network intelligence and control all working seamlessly together in an open framework. That is the value proposition that Juniper alone can offer. This strategy is focused on the continued diversification of our revenue with a deeper focus on a set of targeted customer segments that are in the build cycle for High IQ networks and cloud environments. We see four clear customer segments that fall into this category, carriers, cable, and content providers, where the network experience is fundamental to their business. Web 2.0 companies who are also at the forefront of building advanced, secure, intelligent networks. A set of enterprise customers like financial services and national governments, who are building large-scale internal clouds, and other enterprise customers who view the network as mission-critical to their business. This strategy is clearly resonating with our customers. In addition to today’s announcement with AT&T, we have secured a very important design win with a major global financial services company in transforming their network for best-in-class, cloud builder, and high IQ attributes. Second, we have implemented a One-Juniper structure to create a more focused, connected, agile, and execution-oriented company centered around the fastest growing opportunities in the marketplace, where we see the market evolving too, and equally as important where we excel as an innovation driven company. So let me tell you what we’ve done to execute towards the One-Juniper initiative. On the go-to-market side, we have evolved our model to one that is focused on targeted industry verticals. This is the next stage in our evolution from a geography and sector-based model. We have consolidated our advanced technology teams with a focus on being true centers of excellence around cloud building and high IQ networks. We are becoming more deliberately focused on a key set of partners who deliver these solutions and see them playing an important role in furthering our commercial business going forward. This structure allows us to be more connected to our customers than ever before to ensure we anticipate and co-create with them to meet their ever-changing needs driven by their highly dynamic end markets. I think of this as an outside-in customer imperative fused with Juniper’s inside out approach to innovation. On the R&D side of the house, you will hear more from Rami shortly about the new consolidated organization positioned to capitalize on Juniper’s engineering expertise across routing, switching, and security, tightly linked with our CT organization. This new consolidated R&D structure will optimize our engineering resources across product lines and leverage our products in a more holistic and differentiated fashion. Third, we are on schedule to eliminate $160 million in annualized structural costs from our operations with a clear glide path from second quarter 2014 to first quarter 2015. We have a detailed execution plan within each category of delayering, automation, and focused innovation that matters. These efficiencies will strengthen the company by focusing our resources on high growth areas of the market. Importantly, we have a governance model in place to ensure complete accountability. Our newly formed cost innovation board reporting directly to me meets regularly to ensure we stay on track with execution. We continue to work with an independent consultant to provide outside expertise as needed. And our entire leadership team is unified and fully committed to appropriately managing our cost structure. Robyn will cover our cost actions in more detail during her remarks. Fourth, in February, we introduced a new capital allocation program, which preserves flexibility for future growth while returning capital to our stockholders via buybacks and dividends. Robyn will review the progress we’ve made on this program during her remarks as well. In summary, I’m very confident in our integrated operating plan. The granularity of the execution plan and the level of oversight give us the confidence to achieve the goals we committed to in our IOP. Our strategy is the right one centered on meeting our customers’ most pressing needs with innovation that truly matters to them. We are committed to executing on the goals set up in February, including reducing our cost base and significantly increasing our operating margin profile to deliver profitable growth and shareholder value. In closing, this is my commitment. We will remain relentlessly focused on disciplined execution and we’ll continue to update you on a regular basis. Thank you for your time today. Now, I’ll pass the call over to Rami.
Rami Rahim: Thanks, Shaygan. I would like to first share details of our new Juniper development and innovation organization or JDI, and then provide insight into the key drivers behind our first quarter results. As Shaygan discussed, a key component of the IOP is to streamline our organization and our product portfolio combining our best-of-breed products for the world-class cross-functional innovation, and solutions to solve the most challenging and most meaningful used cases for our customers. In the first quarter, we made a serious of related organizational changes to ensure our R&D and go-to-market functions are focused on cross-functional execution attainment of JDI strategy and business plan. This included merging Juniper’s three product marketing teams into a single integrated marketing function and creating an integrated business operations team consolidating what was once two separate teams into a single team focused on driving JDI execution. These changes are consistent with our One-Juniper approach to reduce unnecessary complexity, increased clarity ownership, and improved efficiency. In addition, this new structure focuses our R&D resources on areas of innovation that matter most to our customers and partners high IQ networks and cloud. In short, these changes will give up the opportunity to truly focused on resources and double down on value creating technologies. For example, we have identified several pre-revenue generating project and are currently transitioning those resources and investing in technologies that matter most to our customers. Juniper remains firmly committed to our existing security, switching, and routing businesses. As Shaygan mentioned, each plays a vital role in our high IQ network and cloud builder strategy, and they areas where we excel as a company. Now, let me shift gears and share with you some insight into the performance drivers behind the first quarter results. Routing product revenue was up 7% year-over-year driven by strong performance in MX. Our increasing focus on customers building smarter networks, capable of generating faster return on their capital investment is paying off. Our MX Universal Edge continues to win in the market and this quarter we enabled many new customers with these capabilities. These customers include large carriers in North America, EMEA, APAC, and Latin America. This quarter, we will begin taking orders for the world’s fastest rich IP line cards with the MX2020 clocking in at over a half of terabit per second. Core was down this quarter mostly as a result of the lumpiness of build-up by large operators, but I’m pleased with current pipeline for core routing. Also, industry trends continue with service provider investment in Edge and Metro are outpacing that in core. Clearly, the MX is benefiting from that. We secured a number of new PTX logo wins in the past few weeks alone and that give us confidence in the future. In Q1, we shipped the industry’s highest density packet optical solutions with new Gig-E DWDM line cards for the PTX. We had a very strong quarter in switching with product revenue up 46% year-over-year, following a 36% year-over-year growth in Q4 2013.
 : During the first quarter, we had wins at top tier web services companies, large content providers, global banks, including a recent win with a major global financial services company and with high growth public cloud service providers. We’re encouraged by early interest and the sales ramp of the recently introduced QFX5100 top-of-rack switch in both enterprise and service provider applications. We are making good progress in our security business. While total product security revenue was down 2% year-over-year, we are seeing continued strength in our high-end SRX business with double-digit year-over-year growth as data center consolidation and clouds drive the need for performance and scale. We remain fully committed to our security business, focusing on what matters the most of our customers and where they are spending. It’s important to note that security is a critical element of, and fully aligned with our strategy and high IQ networks and cloud. We’re seeing good traction with our 100 Gig-E SRX I/O Card launched in the fourth quarter of last year. Juniper remains the only Firewall on the market with 100 Gig-E connectivity leading to wins in large cloud environment. For example, in the quarter, we had a win at a major Web 2.0 company, whereas 100 Gig-E was a critical differentiator. Q1 also saw the successful introduction of new innovation to embed security in the cloud with a Firefly product suite. We closed a key win in a top financial services firm on the strength of features like high availability and better operational efficiency through automation support.
 : At this point, I will turn it over to Robyn. Thank you.
Robyn Denholm: Thank you, Rami, and good afternoon, everyone. I’m pleased to report that our Q1 2014 results reflect good year-over-year revenue growth and significant continued earnings expansion. Revenue grew 10% year-over-year and non-GAAP earnings per share grew 21%. We also continue to see strong demand signals. This sets the stage for what we expect will be continued year-over-year earnings expansion. I’m very pleased with the diversity of our revenue. We saw year-over-year growth in all three geographies with good revenue growth coming from our newer target areas within both the Service Provider and Enterprise segments. We continue to see strong demand from our Web 2.0 and cable customers. The trend that we saw in 2013 has continued in the third quarter. In the quarter, revenue growth was driven by strength in our switching and routing products and continued growth in our SRX-based security products. Before I go into detail behind the results of the quarter. I would like to review the financial impacts related to our integrated operating plan. On April 2, we disclosed restructuring charges related to the cost-saving initiatives that we have begun under our IOP. In Q1, we booked $122 million of restructuring and other charges. We announced a head count reduction of approximately 6% and the vast majority of the affected employees have already been notified. In Q1, the head count related restructuring charges were $28 million. Non-cash asset write-downs of $94 million included $85 million related to the cancellation of the development of the application delivery controller technology and $8 million related to inventory. As we have stated, we are committed to achieving an annualized operating expense run rate reduction of $160 million. We are making good progress towards this target. These changes are expected to be structural. We anticipate the mix of savings to be as follows, approximately 60% related to head count savings, 20% related to program and project reductions, with the balance coming from facilities consolidation and other savings. The fiscal 2015, we expect an expense to revenue ratio of approximately 39%. Please refer to our chart in our supplemental slide deck posted to our website of our expected quarterly operating expense path over the next four quarters. In addition to our IOP cost reduction activities, during the quarter we announced robust and comprehensive capital allocation strategy. I’d like to walk you through the actions we have taken, which highlight our strong balance sheet and cash flow potential. As part of our commitment to return a minimum of $3 billion of capital to stockholders over the next three years. We initiated $1.2 billion accelerated stock repurchase program of which $900 million worth of shares were initially delivered in Q1. We also raised $350 million of debt, allowing us to fund the ASR in a way that is consistent with our liquidity policy. Now I would like to move into a discussion with the Q1 results. Looking at our demand metrics, we begin the second quarter with a very healthy backlog. Our book-to-bill in Q1 was slightly below one, which is typical of our Q1 trends. Product bookings were healthy with a year-over-year growth rate exceeding the revenue growth rate. Total deferred revenue was up $174 million year-over-year and $85 million sequentially. Product deferred revenue was down $14 million sequentially, due primarily to lower channel inventory. Total revenue was $1,170 million, up 10% year-over-year and down 8% sequentially. The sequential decline is in line with our typical seasonal pattern. Product revenue was up 12% year-over-year and down 10% sequentially. Services revenue was $294 million, up 6% year-over-year and down 2% sequentially. There were no 10% customers this quarter reflecting the continued diversity of our business. For the quarter, GAAP diluted earnings per share were $0.22. We recorded a GAAP restructuring charge of $122 million, which resulted in $0.25 impact on GAAP earnings. This was offset by a $0.33 gain from the sale of minority equity investments. Non-GAAP diluted earnings per share were $0.29, up $0.05 year-over-year and down $0.14 sequentially. The year-over-year growth was driven primarily by higher revenue and operating margins. In the quarter, we had a positive impact from the reduced share count of about $0.01. Now, let me provide color on revenue by region, market, and product area. All regions reflected year-over-year revenue growth. Overall, Americas revenue was up 15% year-over-year and declined 1% sequentially. Americas service provider was up 13% year-over-year and 7% sequentially. As a reminder, our service provider revenue includes carrier, cable, and Web 2.0 customers. Americas enterprise increased 22% year-over-year and declined 15% sequentially. The strong year-on-year growth was led by federal and financial services. EMEA revenue was up 2% year-over-year and down 18% sequentially. Of note, we saw strong year-on-year performance in the German and UK market. APAC increased 9% year-over-year and decreased 16% sequentially. These results reflect service provider growth year-over-year in both Korea and Australia. Service provider revenue for the quarter was $783 million, down 5% sequentially and up 10% year-over-year with growth across all three geographies. Enterprise revenue was $387 million, down 13% sequentially and up 12% year-over-year due to broad-based strength in the Americas and public sector spending in EMEA and APAC. Now, let me review our revenue by product area. Routing product revenue was $550 million, down 11% sequentially and up 7% year-over-year. Revenue was driven by strong performance in MX, while the new MX2000 series and the MX104 continue to gain traction and experience solid growth sequentially. This growth was offset by a decline in T-series revenues, both sequentially and year-over-year. Total switching product revenue was $192 million, up 46% year-over-year and down 3% sequentially from a record Q4 2013. This was driven by strong sales of both EX and QFabric product families. And we are pleased with demand for both areas. Total security product revenue was $134 million, down 15% sequentially and 2% year-over-year. This is due to the continued decline of the oldest ScreenOS products and non-Junos-based products now represent less than 15% of our security revenue. The SRX products grew 13% year-over-year, led by good growth in the high-end SRX. Moving on to gross margins and operating expenses. Non-GAAP gross margins for the quarter was 63.5% compared to 64.2% last quarter and 64.6% a year-ago. The sequential decline was largely due to a decrease in services gross margins. Non-GAAP product gross margins were 64.8%, down one-tenth of a point from last quarter and seven-tenths of a point from a year-ago. The sequential decrease reflects anticipated lower volume, whilst the year-over-year decrease is primarily due to mix. While the pricing environment remains competitive, we remain focused on innovation and cost improvements in our supply chain. Non-GAAP services gross margin was 59.7%, down 2.2 points sequentially and down 2.4 points year-over-year. The declines are related to high support costs and increased spares. Non-GAAP operating expenses were $542 million, about what we anticipated due to an increase in legal costs. Non-GAAP operating margin for the quarter was 17.2% reflecting a year-over-year expansion of 1.5 points due to higher revenue offset by lower gross margins. The non-GAAP tax rate was 25.6% compared to 18.8% last quarter. This change is primarily due to the expiration of the federal R&D tax credit and one-time items that were reflected in the prior quarter. The GAAP tax rate was 25.3% compared to 18% in Q4. The increases is primarily due to the net gain on the sale of minority equity investments and the expiration of the federal R&D tax credit. This is partially offset by the impact of restructuring other charges. Looking at the balance sheet, we made substantial progress on our commitment to return capital to our stockholders. During the quarter, 33.3 million shares under the ASR program were initially delivered and retired for an aggregate purchase price of $900 million. These actions reduced the average diluted share count to 497 million, down by 9 million shares sequentially. We ended the quarter with $2.1 billion of net cash and investments. Net cash declined by approximately $1 billion sequentially, primarily due to the ASR. We continued to generate strong operating cash flow of $126 million, down sequentially due to the seasonally lower income and annual payments for incentive comp. Onshore cash and investments represented 29% of total growth balance. In line with recent trend, DSO was 46 days and capital expenditures were $57 million in the quarter. Depreciation and amortization expense was $46 million. Now, let’s look at our outlook for Q2 of 2014. As a reminder, these metrics are provided on a non-GAAP basis except for revenue and share count. As demonstrated in our recent results, we are executing well and the assets we are making to drive further execution improvements are taking hold. We see underling demand in the markets we serve is healthy and we expect to continue the year-over-year expansion in earnings. For the second quarter, we expect revenues to range from $1,200 million to $1,230 million. Gross margins are expected to be 64% plus or minus 0.5%. Operating expenses are expected to be $520 million, plus or minus $5 million, and we’re well positioned to deliver on our cost reduction commitments. Operating margins are expected to be a healthy 21%, plus or minus 0.5%. And this is expected to result in non-GAAP diluted EPS of between $0.36 and $0.39 per share assuming a share count of approximately $480 million. We expect a flat tax rate versus the third quarter. As a reminder and as previously disclosed in Q2 and throughout the rest of this year, we expect to book additional restructuring charges, the majority of which will be related to facility and other asset write-downs. To summarize, we anticipate overall demand to remain healthy, and our product portfolio continues to be strong. We are very focused on executing on our integrated operating plan and continuing to drive innovation. Now, let’s open the call for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. (Operator Instructions) Our first question is from Brian Marshall of ISI Group. Please go ahead.
Brian Marshall – ISI Group: Hi, thanks. This is Stephen Patel calling in for Brian. Could you clarify in your OpEx guidance about 20% of the cost savings coming from actions taken to programs and projects. Have those actions already been announced and how should we think about any associated revenue growth impact from those cuts?
Shaygan Kheradpir: Yes, Stephen for Brian, thanks for the question. We have a very deterministic glide path that we shared with you, and we track these – our cost saving cuts very rigorously almost on a weekly basis. We have taken a lot of the actions, it’s actually front loaded, and – but the savings of these will come – the actions are taken, but the savings will come through the second quarter and the third quarter. Most of the head count related cuts have been already taken and we’ve executed those. They will come – some of them already done, some of them will take longer, because they are in regions which just takes longer to get off payroll. And let me see if Robyn, you want to say anything else on that?
Robyn Denholm: No, I think you answered the question well. Thanks, Shaygan.
Kathleen Nemeth: Okay. Next question?
Operator: Thank you. The next question is from Ben Reitzes of Barclays. Please go ahead.
Ben Reitzes – Barclays Capital: Yes, good afternoon. A few if I may, Could we just parse out that legal expense and what costs would have been in the quarter without it and how much is recurring? I think that will help lend visibility to your plan and credibility behind that cadence you have on the slide. And then also Shaygan, if you could just talk about the sustainability of the switching momentum, what are you really seeing there and how sustainable is it, because obviously 46%. I think that need everybody’s model for the second quarter in a row. And what you see in the competitive dynamics there? Thanks a lot.
Shaygan Kheradpir: Sure, Ben. So the first question I’ll ask also Robyn determine. Most of the upward pressure we saw on the first quarter was due to legal on G&A. I will ask her to parse that I suffice it to say before I pass the Robyn. And then I’ll come back on the switching. Is that we are committed and we see our way clearly to the $160 million cost cuts as laid out in that charts that we have published between now and first quarter 2015, quarter-by-quarter. So for example we would be at $520 million in second quarter and $510 million in the third quarter and less than $500 million the first quarter 2015. We are quite clearly to that we’ve got most of the actions front loaded and executing. So, you shouldn’t worry about the 160. And in terms of the legal. I’ll pass it to Robyn and then I’ll come back on switching.
Robyn Denholm: Thanks, Shaygan. In terms of the legal expenses that Shaygan mentioned they were above what we were expecting for the quarter. If you look at the G&A increase quarter-over-quarter a substantial is $7 million to $8 million. And the majority of that in fact more than that increase is due to legal in the quarter. Some of which was expected and some of which wasn’t as I mean in prepared remarks. If you look year-over-year in terms of OpEx, we have been making progress and that is in pre-out recently announced actions that we have been taking. So, if you look at our OpEx is a total as a percentage of revenue is about 46.3% of revenue in the first quarter of 2014 versus 48.9% for last year. So, we have been making some progress even though the legal expenses did increase more than we were anticipating in the quarter.
Shaygan Kheradpir: And if I can, thanks Robyn. I’ll take the switching. Obviously, we had, we are very pleased with the switching quarter. I can tell you and I have been engaged since I have been here with a lot of conversions with the customers of what they are doing, why they are doing and specially in regard to switching. It’s actually quite fascinating. It’s a lot around Cloud-Builder and is putting in place our switching with our routing and security as an ensemble and our controller and Contrail into sort of many accounts. Now, every single one of them that I have been engaged, if you’re actually sophisticated implementations and each company is doing something quite interesting. And so that is also lend itself very well to Juniper’s DNA on sitting with the customers and cranking. So, they love features in Cloud-Building like in service software upgrade that’s a fantastic feature do you love. They love things like micro-bursting, which gives them lot of telemetry and very fine-grained levels. They love the fact that they can write get the on some switches. And on and on and on. And they like the fact that they are open, high for scale with sort of no extra package and they can do a lot of things that each of them once they are slightly differently. And the fact they work very well with MX and SRX.
 :
Rami Rahim: Yes, I think you covered most of it, I’d just say that the team has been working really hard over the last year and so when we consolidated our switching organization we streamline, simplified our portfolio and we implemented as number of capabilities from fabric technologies, IQ and a number of different things that Shaygan mentioned has made our portfolio including switching, routing and security really appealing to both enterprise and service provider.
Shaygan Kheradpir: Yes, I would just say one other thing, its Rami hit as a nail on the head where the leverage engineering between routing and switching actually quite phenomenal and why customers buy in a switching it’s not your grandfathers switch and security is your grandfathers, this is a new world and all the leverage engineering we are getting from Junos really giving us a leg up and of course open net derivatives since you talk about.
Kathleen Nemeth: Okay great. Next question please.
Operator: Thank you. The next question is from Ehud Gelblum of Citi Group. Please go ahead.
Ehud A. Gelblum – Citigroup Global Markets Inc.: 
 : Shaygan you mentioned the pre-revenue projects that you are getting rid off and of course that you are trimming the cost structure, you are finding a number of these, can you give us some example beside from the right opt for the riverbed deal, where you can give us best example and that’s things you have gotten out of, so we can understand this kind of put a red basket box, whatever targets around kind of understand the different areas, that you are getting about, and identify any other areas kind of that you can that you think you still might be looking toward. And then finally Robyn again it’s been at the legal thing and again, brought up last conference call and then it’s brought up here again. But can we just be specific in terms of what was the actual legal amount this quarter? what we are expecting I know there was some controversies last quarter on whether its $15 million this quarter you expecting from legal. So we assume that it was $15 million plus 7 to 8 you actually spent $23 million this quarter on legal. But you expected $15 million if you are going to just give us the Q1 legal where that goes in Q2. So we can compare, what that looks like in Q2, and just levels that us a Q4 number as well and that’s a lot, but that really it’s kind of set that bar as to what’s the ups and downs in legal and kind of how that is falling through those three quarters, that would be, great. Thanks.
 : Shaygan you mentioned the pre-revenue projects that you are getting rid off and of course that you are trimming the cost structure, you are finding a number of these, can you give us some example beside from the right opt for the riverbed deal, where you can give us best example and that’s things you have gotten out of, so we can understand this kind of put a red basket box, whatever targets around kind of understand the different areas, that you are getting about, and identify any other areas kind of that you can that you think you still might be looking toward. And then finally Robyn again it’s been at the legal thing and again, brought up last conference call and then it’s brought up here again. But can we just be specific in terms of what was the actual legal amount this quarter? what we are expecting I know there was some controversies last quarter on whether its $15 million this quarter you expecting from legal. So we assume that it was $15 million plus 7 to 8 you actually spent $23 million this quarter on legal. But you expected $15 million if you are going to just give us the Q1 legal where that goes in Q2. So we can compare, what that looks like in Q2, and just levels that us a Q4 number as well and that’s a lot, but that really it’s kind of set that bar as to what’s the ups and downs in legal and kind of how that is falling through those three quarters, that would be, great. Thanks.
, : Shaygan you mentioned the pre-revenue projects that you are getting rid off and of course that you are trimming the cost structure, you are finding a number of these, can you give us some example beside from the right opt for the riverbed deal, where you can give us best example and that’s things you have gotten out of, so we can understand this kind of put a red basket box, whatever targets around kind of understand the different areas, that you are getting about, and identify any other areas kind of that you can that you think you still might be looking toward. And then finally Robyn again it’s been at the legal thing and again, brought up last conference call and then it’s brought up here again. But can we just be specific in terms of what was the actual legal amount this quarter? what we are expecting I know there was some controversies last quarter on whether its $15 million this quarter you expecting from legal. So we assume that it was $15 million plus 7 to 8 you actually spent $23 million this quarter on legal. But you expected $15 million if you are going to just give us the Q1 legal where that goes in Q2. So we can compare, what that looks like in Q2, and just levels that us a Q4 number as well and that’s a lot, but that really it’s kind of set that bar as to what’s the ups and downs in legal and kind of how that is falling through those three quarters, that would be, great. Thanks.
 : Shaygan you mentioned the pre-revenue projects that you are getting rid off and of course that you are trimming the cost structure, you are finding a number of these, can you give us some example beside from the right opt for the riverbed deal, where you can give us best example and that’s things you have gotten out of, so we can understand this kind of put a red basket box, whatever targets around kind of understand the different areas, that you are getting about, and identify any other areas kind of that you can that you think you still might be looking toward. And then finally Robyn again it’s been at the legal thing and again, brought up last conference call and then it’s brought up here again. But can we just be specific in terms of what was the actual legal amount this quarter? what we are expecting I know there was some controversies last quarter on whether its $15 million this quarter you expecting from legal. So we assume that it was $15 million plus 7 to 8 you actually spent $23 million this quarter on legal. But you expected $15 million if you are going to just give us the Q1 legal where that goes in Q2. So we can compare, what that looks like in Q2, and just levels that us a Q4 number as well and that’s a lot, but that really it’s kind of set that bar as to what’s the ups and downs in legal and kind of how that is falling through those three quarters, that would be, great. Thanks.
Robyn Denholm: And Ehud I think that was like 18 questions rising there but …
Ehud A. Gelblum – Citigroup Global Markets Inc.: It was three main topics broken down to a category part…
Shaygan Kheradpir: I know, I know I am just kidding, I am just kidding yes, yes. So on AT&T as I am sure you are familiar to have this program called domain 2.0 which is called the user defined network cloud. And essentially they are pushing their network into the next phase which is around clouds and it’s around a lot of attributes of the cloud. So what are those attributes they obviously, is a carrier class nature of it which you are very good at Fort Knox security which is very, very good at. Multi tendency and in terms of the high IQ piece of it it’s a lot around automation for efficiency and effectiveness in terms of virtualization and so forth and so on. Service chaining, traffic movements a lot of STN, so a lot of the attributes that you put together to create a modern cloud based architectures they have been very clear this is what they want. And they – we are very fortunate to be sort of selected for these attributes. And we have by the way products in all of these categories and they work and they work very well each other. So and I believe, I don’t know this to be a fact but I believe that would a first re-routing and a supplier announced I don’t know but that’s so I think we’re very pleased with that. What was the other question?
Robyn Denholm: Some of the project that we might be investing from, Rami has that.
Shaygan Kheradpir: Right. So, I’ll pass it on to Rami so, and he can go more but, I would just say that with high IQ looked at our product lines are very carefully through operated charge, in terms of return on investment, in terms of the match to cloud builder on high IQ our strategy, so fact that to say we are focusing on growth and we are focusing on accretive work that matters to our customers. And based on that we have – you saw decision on ADC and as far as normal course of business we do continuous mark-to-market to evaluate our products and projects. And we are transitioning our portfolio to technologies that match our strategy and on our workforce and where can get leverage engineering Rami do you want to say a few more words on that.
Rami Rahim: I’ll just add that, we on an ongoing basis are always in the process of evaluating the ROI expectations the market conditions of all of our project and making decisions based on this analysis. And the IOP was really no exception to that we did take a look across the board of all of our projects and we did identify a number of pre-revenue generating projects that we will transition resources off of and to put them on projects that are more highly aligned if you will with our strategy things like STN and NFB like many of our forward thinking customers are thinking about today and on legal Robyn.
Robyn Denholm: Yes. Let me just add on the project side, the projects we evaluate with not just R&D Rami went through some of the R&D projects. We’ve also evaluated other projects that we’ve been doing on the infrastructure side within the company as well and some of those will, I’ve seen targeted for completion or preparation if you like as well. So it’s an across-the-board review of our project, across all three of the areas. So specific to legal, I’m not going to give you the dollar amount, but I will point you to the G&A line that you can see in the press release and on the various filings that we’ve done. And what you can see that G&A is up significantly year-over-year, it’s 39% year-over-year increase, and the legal expense increase is more or less the entire increase. So you can say that it is – has been a large amount. Having said that as Shaygan mentioned, we are committed to achieving the $160 million of cost reductions on an annualized basis exiting Q1 of next year.
Ehud A. Gelblum – Citigroup Global Markets Inc.: Thank you. And we are co-listing all our resources around driving profitable growth and connecting report and growth. Thank you.
Kathleen Nemeth: Okay. Next question Manny?
Operator: Thank you. The next question is from Jess Lubert of Wells Fargo. Please go ahead.
Jess Lubert – Wells Fargo Securities, LLC: Hi, guys, two questions, maybe just a follow-up on your earlier switching question, but given some of the cloud momentum and big wins you mentioned on the call, do you think Q1 is a new base off of which we should see sustainable sequential growth moving forward, or would you expect some lumpiness there? And then I was hoping you could help us better understand some of the dynamics driving the uptick in support costs and spares that impacted service margin in the period, when you think about the likely range of service margin moving forward. Should we be thinking about numbers getting back into the 61% to 63% range, we’ve seen over the last few years or should we expect service margin to remain closer to current levels? Thanks.
Shaygan Kheradpir: Sure. I will pass this question. The first one is about forward momentum on cloud building. Just suffice it to say that we – we are pleased with the momentum and the pipeline of what we see. Rami, do you want to give some more color to that?
Rami Rahim: Yes, I would be happy to, thanks, Jess. So as you know, our Switching business has an enterprise component where we are selling to enterprise, IT, private cloud and data center, machine critical campus combination, as well as service provider applications, including things like cloud data center intra-POP infrastructure connectivity, certain parts of access infrastructure. And I have said in the past that especially the service provider components of that business can be lumpy. In Q1 we actually saw strength in both enterprise and service provider. So can you expect this level of performance going forward, I would say that’s probably unrealistic. Our goal is to continue to take market share and I’m very confident in our ability to do so.
Shaygan Kheradpir: And, Robyn, do you want to take that.
Robyn Denholm: Yes, so in terms of the services gross margin Jess, the gross margin in the quarter was 59.7%, it has been quite some quarter since we’ve been below 60%. And the reason for that as I mentioned in my prepared remarks was that the support costs were higher in the quarter and we also had increased bearing. We normally get increasing bearing when we have our new customers or new contracts or new product introduction. And so the timing of those do vary from time to time in terms of when we get those spares on board. So we do expect the services gross margin to improve from this low level of 59.7% in the quarter.
Kathleen Nemeth: Great. Next question please Manny?
Operator: Thank you. The next question is from Jeff Kvaal of Northland Capital Markets. Please go ahead.
Jeff Kvaal – Northland Capital Markets: Hi, thank you very much and happy to be back in business. Could I ask a couple of questions, one is from a high-level? There has been some talk about our core routing refresh cycle and I think talk about some of the carriers running hot. There seems to be now, your commentary was more focused on growth from the edge than the core. If you could sit some light on that I would to be delighted. And then Robyn for you, could you clarify a little bit lower products deferred revenue outlook, the channel is that driven by seasonality is that driven by a pullback from certain areas of business what goes into that reduction in the channel? Thank you.
Shaygan Kheradpir: Okay, on the first one I’ll ask Rami to comment the hedge dynamic versus the core dynamics, which is obviously different. And can you just focus on the core please.
Rami Rahim: Sure, thanks Jeff. But you’re right the strength we saw on routing was primarily back in the hedge and primarily driven by our MX product line. And that’s essentially a play out of the strategy that we have been developing on the MX product line around the universal edge. So, in carriers and service providers are looking to consolidate their services onto fewer networks and to provide virtualization to enable business residential in video and mobile type services, we really have a fantastic weapon to compete within the form of the MX. On the core, you’re right core was in fact down, I think the biggest things that we saw in Q1 was primarily that of lumpiness in spending and in the builder. I say that because if you take a look at Q4 of last year, the core investment was actually quite okay. And then if you look at our pipeline if you will. They’re again I think what you see somewhat encouraging. There is in fact also an industry trend, which we had mentioned in the past where the bulk of the investments and routing is still happening in the edge and in the metro. And that of course is putting pressure on those parts of the network the edge and the metro, which the MX benefits from and to some extent it can elevate some of the pressure from the core. So that might push out the need for investments in the core of it. The best thing that Juniper can do in a situation like this is to execute on a high leverage R&D strategy for a product that satisfied both market segments edge and core and to be ready for the cycle irrespective of where it actually start to occur. 
Jeff Kvaal – Northland Capital Markets: Thank you, Rami and Robyn you want to talk about deferred revenue question?
Robyn Denholm: Yes, Jeff in terms of the channel inventory, it is typically the case in our Q1 that there is a seasonal reduction in the inventory. But I would also so we had a strong channel quarter as well. So a strong finish all the way through to the end of the quarter through the channel. And as Shaygan mentioned in his prepared remarks, we are doing a lot of business with our channel partners in terms of particularly on the enterprise, but also on the service provider area as well. And so we have a strong focus on partnering and on the channel so. And the inventory volumes will lower as we exhibit the quarter. 
Jeff Kvaal – Northland Capital Markets: Thanks.
Kathleen Nemeth: Okay, great. Next question please. 
Operator: Thank you. The next question is from Sanjiv Wadhwani of Stifel. Please go ahead. 
Sanjiv R. Wadhwani – Stifel, Nicolaus & Co., Inc.: Thanks so much. Two questions, perhaps if you look at the router outlook right now versus a year ago. I just wondering if you guys could make a comment on sort of how things stand now versus a year ago. And as far as the cost of announced in early April. Any color on where they happened and specifically what product areas where impacted that most in those cuts? Thanks.
Shaygan Kheradpir: Sure, Sandeep. So again I’ll start and then I’ll pass them to my colleagues here. So on routing, what’s going on I’ll give you the top-level dynamic as I see them. First of all you’ve got obviously that – well everybody knows which is the bandwidth growth, which is driven really by mobile and content concentrated by video, there is pressure there. Now that actually that pressure people usually think about it in the carrier networks spread – it splashes also into data centers and clouds and also some interesting ways. So that’s an end-to-end pressure and routing is very much front and center on both ends of this. Then you’ve got Rami mentioned, the second one is convergences and convergence is in two forms, one is on the access sides, that’s things like P&G and then there is now finally a good move towards wireless and wireline network convergence and when that happens and you’ve got the beautiful machine called MX which is right at the front center and PTX. And then the key part of this is more and more every month that passes, we all are getting stuff as a service that is an undeniable fact and that – to do that you need to build this giant cloud systems and High IQ networks a lot of the attributes we’ve been talking about and there it’s much more a layer 3 discussion and as soon as you have layer 3 discussions, you land on routing, you land on routing, you land on MX, PTX and T series and all the rich, both the rich functionality on the agents, there is so many, we can’t even count and then super high scale at the core. And so all of these three things we don’t see that these pressures are abating relative to last year. Rami do you want to sort of give the overview on it?
Rami Rahim: The only thing I’ll add Shaygan is that if I look at service provider again with that definition of web services and telco and cable then the market in fact should be a healthy market for us in this year. So it really comes down to the competitiveness of our products and our ability to actually go and satisfy the pressures that they are seeing and that’s where I’d just reiterate that I’m actually quite confident in product and the technology that we have in the market and what’s coming up in the roadmap.
Shaygan Kheradpir: Very good, so as far as the second question was around cost cuts right? Yes, so the cost cuts I would say all of them will make our company stronger going forward because they are around taking bureaucracy out, delayering the organization, the duplicating repetitive effort and as fact, so basically all of those that aren’t closed about, our customers like its grade I can go directly back to back with your best people be it on go to market and engineering. Its going sort of back to way it was in a bigger fashion, so that’s good. The biggest leverage is actually amongst all it. Its not that they have put teams together for example in engineering there is all sorts of leverage work that we can get across the board in one – one are in the organization as an example. And sharpen your focus on things that matter which is on cloud building and High IQ and things frankly that we are not going to focus on either because its not really our core competency, or its not where the market is going and we’re going to focus on growth. So that really their focus and the cost cuts I’m certain of it, they are going to make the company stronger going forward for the following reasons. There is a lot of work, its not only in R&D, in go to market having focused on those verticals that are in the business of cloud building, High IQ networks and where our networks are mission critical and little deepening relationship putting our entire portfolio in play, in interesting ways to take share, more valid share out of those accounts. And then be a little bit deliberate on partners much more much deliberately partnered dependent, and then the whole organization is one Juniper focused on the strategy. So the cost cuts should really be viewed in that way that they that out there – they will actually make the company stronger. Robyn, do you want to say anything?
Robyn Denholm: No I think you’ve covered a lot. Also earlier in the Q&A Rami went through that in R&D we had cut some projects like the agency that were non-revenue generating and therefore and not aligned. So there was a thorough review done in terms of both projects that would not revenue generating and also not aligned with the cloud builder in High IQ strategy, and so the teams has done a very good job on executing and spacing those types of projects as well.
Shaygan Kheradpir: It’s not accretive and it’s not aligned to the strategy and its not leverage engineering, it doesn’t really survive.
Kathleen Nemeth: Okay, great. Next question please, Manny.
Operator: Thank you. The next is from Simona Jankowski of Goldman Sachs. Please go ahead.
Simona Jankowski – Goldman Sachs & Co.: I had a couple of questions on the cost side and on the revenue side as well. So first on the cost side I think you talked about some cuts and consolidation you did in R&D operations and marketing, or there any outflow cuts to sales?
Robyn Denholn: Yes, they were Simona, there is cuts in sales and marketing as well, in fact if you look at our slide deck, we put the glide path in there from Q4 of 2013 quarterly OpEx and we’ve also put a chart that shows by area, R&D, sales and marketing, and G&A. What we expect the profile of our go forward OpEx to be and again the profile from where we are coming from which is the Q4 2013 numbers versus the Q1 2015 estimates that we have in terms of the post IOP, post 116 reduction on an annualized basis. And so there are cuts across the board, G&A, R&D, and sales and marketing.
Shaygan Kheradpir: Yes. Of course in G&A Simona there is operation. Robyn side exactly right on the sales front, we really are focusing both on service provider and enterprise those segments that we mentioned. We are gathering our forces around those segments, so they can go deeper and more focused and frankly all those customers sets they want the same things that, for example in AT&T and Verizons which is depth and with a lot of technical hands on skills. And so that’s really the sales motion and getting that focus will also gives us synergies which is in another way of what Rami is doing win, he is doing go to market, Rami is doing good to get the leverage on engineering and making sure we’re focused on cloud building and high IQ network. So you should think of it more as a focus on debt and leverage rather than, sort of cuts that weaken you.
Kathleen Nemeth: And Simona, do you have a follow-up question as well. Manny, can you open the line again for Simona, I believe Simona had a follow-up.
Operator: Sorry, and just one moment.
Kathleen Nemeth: Thank you.
Simona Jankowski – Goldman Sachs & Co.: Yes, thank you very much. Yes, I did have a follow-up question on the revenue side, so you talked about de-emphasizing or cutting some of the resources for three revenue project, does that imply that you are still focusing on some early revenue projects like Junos Pulse, the wireless LAN business, and the access business. And really the bigger picture question here I’m trying to get to is, you’ve given us a lot of hopeful detail on the cost saving side, but as we tried to think about what is the sustainable revenue growth profile for Juniper now with this set of businesses in the next two to three years, how should we think about that and part of the missing piece is that we don’t really know if you’re still pursuing some of the enterprise edge on access kind of businesses that I just mentioned?
Shaygan Kheradpir: Yes, Simona, this is Shaygan again. I would just summarize that we are not providing competitive information on this call. So that sort of point number one, we are not drilling into that zone. On the cuts, the cuts are structural, they will remain with us. And in fact, this is a muscle that the organization is building, which is good, we can always get more efficient all the time and we will leave it at that. And when we have more news about anything in terms of products, we will share with you. But right now suffice it to say, we’re focused on Cloud Builder and High IQ. And, Rami, do you want to say anything else there?
Rami Rahim: No, I think that summarizes it. I will just – I just want to reiterate what I 100% committed towards switching or routing and our security businesses. I think we got a great team, great technology, fantastic roadmap, and now one that is very highly aligned with our forward looking strategy with Cloud Builder and High IQ.
Robyn Denholm: Yes, and I just want to remind you as well that, the integrated operating plan is about also focusing on the top line revenue growth. It’s not just about cost reductions. We’re talking a lot about cost reductions today, because it’s the first time we’ve unveiled our glide path and the detail of the cost reductions. But what – we’re about is actually growing and expanding our operating margins and our earnings over time. And we know that to do that we have to invest in the right innovations and the right market that really our customers need and want. And that will actually ultimately drive our revenue growth as well, which we’ve been doing very well over the last six quarters or so in terms of revenue growth.
Kathleen Nemeth: Great. Thank you. Manny, next question?
Operator: Thank you. The next question is from Mark McKecknie of Evercore. Please go ahead.
Mark McKecknie – Evercore Partners: Great, thanks. Hi, Shaygan and crew, I appreciate you get me in here. So a couple of questions, one, last quarter your router orders were pretty strong up 20% quarter-on-quarter, 30% year-on-year. So looking at the near-term and the context of your guidance, it looks like about 5% sequential at the midpoint, and we heard a lot of comments on the Switching business, would you expect a little bit of growth next quarter, quarter-on-quarter for routers, what type of margin impact that might have on the mix? And then the second question is on the AT&T award, first off congratulations on that, but I wanted to know, who you competed against their. It sound like this is more for sort of public cloud business as opposed to some of the NFP. I want to understand that and I’m assuming this is QFabric in some of your Contrail on a controller. But on that front, are you going to work with someone else’s controller VMware someone else or is this a full QFabric and Contrail type solution? Thanks
Shaygan Kheradpir: Sure, first thanks for congratulating us on the AT&T. We are all very excited about that. And by the way, on the AT&T question you should reach after them about that this scope of it. Suffice it to say it’s a material and it’s really that Domain 2.0 kind of work that they’ve been talking about. As far as routing is concerned, the pipeline, the design wins and the backlog, they are all pleased with those numbers for routing. And as both Rami and Robyn was said there is a different dynamics between edge and the core and the lumpiness of the core and they are out in the first quarter and all the activity around hedge that is happening under first quarter. But the pipeline we are pleased both from pipeline and design wins and the backlog on routing anything else Rami you want to add that.
Robyn Denholm: I’ll just add for Rami, don’t forget that last year in Q2. We had a sizable amount of our enterprise routing with the government customers. So just there in mind with that when you look at our result. Having said that, we are very pleased with the strength of routing particularly in the service provider space in terms of pipeline and design wins that we have as Shaygan mentioned. So, we are actually expecting Q2 on the service provider side to improve in terms of routing in the second quarter. 
Shaygan Kheradpir: I would just agree with that. I would say I’d expect continue to strength in our edge portfolio and keep in mind that we are continually enhancing these product offering itself that we are starting to take orders now for new line cards that’s going to give us a real good performance increase in addition to new software capabilities. On enterprise routing was actually good for us in Q1 and I see a good pipeline there. And then finally I provided some commentary on the core, the pipeline for the core coupled with some wins that we’ve had recently in our PTX, in fact it’s our brand new logo for us. Are going to start to pay off now is that going to happen this quarter or the next quarter is difficult to say usually there is a certification cycle that takes a good couple of quarters, maybe even three quarters to play out. But based on all of that, all of the above I said have pretty good confidence in Q2.
Mark McKecknie – Evercore Partners: Gotcha, thanks. Shaygan nothing on the competitive front for this AT&T, when I guess will find out?
Shaygan Kheradpir: Yeah, I mean, I should really situate – I don’t have average ability like that all I can say is the engagement with them has been fantastic and very forward looking across the board all the things. There was a question I think also about Contrail and I don’t want to talk about anyone specific customer, but I will say that network function virtualization is a very hot topic today as many of you already know. We’re engaging with the number of our customers on that topic and showing them proof-of-concepts of technology that we have that essentially couple. Our high performance services on the edge, on the MX, for example, along with the layer 4 to layer 7 service is that virtualize on general-purpose processors. Now that solution has to be nicely coupled together and provided in a way provide seamless service experience across both physical and virtual and Contrail plays a fundamental role in that. So Contrail now in fact over just a past short period of time has gone into life deployments and we have gone to probably around 2 to 3 dozen engagements and live trials with some customers around the world.
Kathleen Nemeth: Okay, great. Next question please Manny.
Operator: Thank you. The next question is from Amitabh Passi of UBS. Please go ahead.
Amitabh Passi – UBS Securities LLC: Hi, thank you ask couple of quick questions on your security segment. This is a segment that has been quite volatile although we are seeing year-over-year trends improve. I was wondering if this is a segment that you actually believe can grow in 2014, particularly when we are hearing greater competitive pressure from companies like a F5, particularly in the service provider community. And I also wondered on Shaygan do you requiring incremental investments in this part of the business and can you support that given all the OpEx rationalization that you’re doing?
Shaygan Kheradpir: Yes, thank you for the question. So, I’ll go through it. The quick version of the answer is that yes, we expect our security to grow year-over-year, now what I have to tell you is securities are paramount importance to our strategy, because you can’t really as I said have a cloud be a Cloud Builder and not have security. In fact, it’s much more important than before. We are pleased with our performance and growth in our SRX and Firewall both in enterprise as well as on service provider, we have as you know decline in our ScreenOS, the declines are – we had 6 ScreenOS flagship design, it was 20% of the base in that 15%, so that’s diminishing. As you said correctly it is, I would believe it is stabilizing it is too be minus 18%, minus 7%, minus 2% year-over-year and we expected to return to growth by the end of this year. Having said all that we are not satisfied of where we are and we need to execute better, we acknowledge that and now that we have security in, are coming R&D team. I think we are going to get a much better leverage engineering and with everything else we have. And as you well know security market is changing, security is moving into the core, cloud, security is virtualizing everywhere else. Security is in desperate needs of high analytics. Because when you have a cloud and High IQ networking have a lot of valuable assets in it. And so having analytics to defend especially against things like military spider attack is very important. And of course you have to and need to have high efficacy. And we have a lot of capabilities, now we have to execute better they all under one R&D organization and that’s our focus is to return back to year-over-year growth. Rami, do you want to say anything else on that? 
Rami Rahim: I will just add, we saw a great growth in the high end, that direct double digit growth and I don’t think that’s an accident that the result of a lot of really hard work had gone into improving the session scale, the performance, the efficacy of that solution something that we are proud of and I think we demonstrated what we can do, when we focused on the rest of the portfolio and that’s exactly what we’re in the process of doing right now. And it’s going on the last thing as I says that there will be a high leverage approach to doing so. The work that we’ve done in the high end absolutely applicable for the rest of our portfolio.
Kathleen Nemeth: Next question please. Operator?
Operator: Thank you. The next question comes from Rod Hall of JP Morgan. Please go ahead.
Rod B. Hall – JPMorgan Securities LLC: Yes, hi guys thanks for taking my question. I just had a follow-up question on earlier question and then other one for Shaygan. So I just wanted to see if Robyn or Rami you guys would give us the order volume growth rate for routers in Q1. And then kind of related to that and that $471 million of backlog exceeding the year. And I know you don’t usually get that number, except for the Q4, but it sounds like I mean your book-to-bill is such as just slightly less than one, is it right to think you’re carrying pretty much as similar level of backlog on its Q2. And then for Shaygan, I just Shaygan could you comment on, I think you made comment before about how you’re reallocating technical resources for large accounts and trying to just get more effective the way you put together Juniper’s product range when you talk to these big accounts or looking at architecture. I just wondered if you could comment on how far through that you are and whether you have learned anything from those changed engagement levels with some of those accounts? Thanks.
Robyn Denholm: So, Rod. I’ll start on the order booking commentary. So, as I mentioned in my prepared remarks, the order booking overall for the company was higher then our revenue growth and that’s very good thing for Q1 actually. And as you know typically when we are going into the next quarter a lot of the backlog is our routing products. And so, as Shaygan mentioned earlier that is one of the reasons why we are confident in our routing in a pipeline, because we have visibility to that we also have visibility to the design wins and we have a very good portfolio in terms of routing across the board as Rami mentioned. So, I think that answers your question with that our overall bookings rate was higher than our revenue growth in the quarter.
Shaygan Kheradpir: And Rod, on your second question. Yes, I have embedded deep personally with our teams in many of these accounts that’s have been here across all those segments that we mentioned. And I have tell you, once your are underground and you see the action and you see all the interesting workloads and very new and non-linear workloads that our customers are trying to handle and the problems were trying to solve on the innovation side, on the quality side revenue generation, automation and like it is absolutely paramount that we have our in the best and brightest teams on go-to-market on operations on technical and engineering shoulder-to-shoulder with them. And so this now have you heard this saying, people have heard me to say this before have been through. These cycles, when we are going through non linearity or inflection points in tech. We are absolutely going through one of this five years from now history if is a judge we normalize and then we can go normal formations and every can do there little bits and brigade can begin of delivery. This is not one of those times if you sit in with the cloud providers, Web 2.0, carriers and so forth and so on cable, financial services and the like. They are trying to solve stuff that frankly they had never seen before in terms of sophistication, complexity, scale, why is that the case is because everything is more as a service delivered to the end market continuously and that requires a different level of scale and sophistication and every company has a different starting point, every company has a different enduser market that they are trying to satisfy. Every company is trying to get an edge in this new world that they all see. And so being in force and in-depth in these companies to ensure you don’t miss those nuances and we can execute on them and normalize those features in your product line is absolutely crucial. Now the great news about Juniper is this is what Juniper is. They are a builder company by DNA, so it’s a fantastic opportunity for all of us in Juniper to engage and grow up our sleeves. And I have to tell you I’m having a fantastic time being at the shop floor of all these accounts and it’s phenomenal what’s going on, on the ground. I’ve been in this business almost 30 years in networking and this reminds me of the days when I first came out of college and I saw this, it’s very cool, it’s very exciting, it’s very sophisticated, and the world out there really desperate to meet all these innovations that we are an increasingly in place to deliver and to do that you have to have different skill and know-how and be able to take customers from one side of the river to the other side and build a bridge for them. So, yes, long answer to your question. We are super excited to Juniper about this opportunity.
Kathleen Nemeth: Okay, great. Next question please?
Operator: Thank you. The next question is from Brian Modoff with Deutsche Bank. Please go ahead.
Brian Modoff – Deutsche Bank Research: Hi, guys. I have a couple of questions if I could. First, in terms of the cutbacks in R&D, do you worry about any of those cutbacks impacting some of your next generation ASIC developments for your kind of a MX PTX products coming out next year? Second, can you talk about kind of work here in the STN framework what your least fine strategy is, do you plan, right now is 110 gig switches, top-of-rack switches that are driving your revenues? What’s your strategy on 1040, can you talk a little bit about that please? Thank you.
Shaygan Kheradpir: Sure. So let me assure you, we are not cutting any muscle out of R&D that matters to our strategy and to our customers, in fact, it’s the opposite. We are focusing our forces around a set of things that we think truly matter and we’re putting all the force rather than be distributed and distracted. So we should view IOP as a focus on sort of big things that matter, and obviously ASIC know that you just mentioned is one of them. On the switching side I have Rami chime in, obviously we cannot give competitive information, where we’re going. But I can tell you what the customers tell me about their switching line is that it already has a lot of capabilities like I mentioned in service software upgrade micro bursting, Virtual Chassis, which people love and so forth and so on. And in terms of its fees and feeds, Rami, do you want to take that?
Rami Rahim: Yes, sure. First, I’ll just reiterate what Shaygan said about R&D from the guidance running R&D, it’s pretty much most of the cuts we’ve made for structural nature were a result of the decomplexifying if you will the organization streamlining things so I am not concerned our ability to compete. And in fact you mentioned silicon, I am very excited about the silicon roadmap that we had in the works right now in Juniper. On the FDN framework in fact part of the reason why you’re seeing the growth that we have right now in switching is preciously because of the fact that we are building a set of switching building blocks. These are building blocks that have a number of different applications, the data center and cloud automation being a very important used case. So, we are building directly into our switches the kinds of automation, visibility, controllability and very importantly open this there are customers absolutely like. And that give us the ability to work with great partners like VMware, where we are going in addressing private cloud like virtualization environment for many of our customers, but also with contrail, where for example in public cloud scenarios or in network function virtualization. There is a really nice seamless if you will tie in between the controller and our switches. This is very much a 10-gig story today, but the products were offering are all 10-gig, 40-gig and there is in fact going to be this migration overtime to 40-gig. So work that well setup to take advantage of that 10-gig to 40-gig migration that’s happening in the market.
Kathleen Nemeth: Okay, great. And we do have time for couple of more questions. We’re coming up on the hour so operator next question please. 
Operator: The next question is from Jason Ader of William Blair. Please go ahead.
Jason Ader – William Blair & Company, LLC: Thank you. I just wanted to follow-up on an earlier question around the identification of other user product lines that you might be exceeding and I know you want to give competitive information, which I totally respect. But I guess the question is have you identified other use in product lines at this point or you still in that process. And then secondly just for Robyn, can you give us the guidance for interest and other income now that you have in your debt flowing through the balance sheet?
Robyn Denholm: Rami, you would answer the question
Rami Rahim: Yeah, sure. I’ll start. The question of did we actually take action already, the answer is yes, we have gone through the analysis we’ve evaluated the projects that we are already undertaken and we have in fact reallocate resources of the project that all pre-revenue and that has already given us an ability to start to focus on some of the really important strategic initiatives around cloud, High Q network function virtualization FDN that’s just very meaningful to our customers and I just kind of leave it that.
Robyn Denholm: Thanks, Rami. So on the interest side yes, clearly the interest rate, borrowings that we made in the quarter will add to our interest expense in the quarter, next quarter. So, we expect that we had reasonably low interest quarter for this quarter is just under $10 million. We expected to be in the $14 million to $16 million range for the next quarter.
Kathleen Nemeth: Okay, great. Next question operator. 
Operator: Thank you. The next question is from Kulbinder Garcha of Credit Suisse. Please go ahead. 
Kulbinder S. Garcha – Credit Suisse Securities: Thanks and most of my questions has been answered. I just wondered a broad one for Rami in the routing side, we’ve seen historically just cycles in this business driven partly by product repurchase sometimes by macro. I am just thinking as we come to this repurchase, can you speak about how it’s different and how this won’t be a situation where by from now with difficult comps looking at significant deteriorated revenue line what’s different of value, which is - what that top two or three things that come to mind that would help?
Shaygan Kheradpir: Okay, yes sure Kulbinder, I’d say again you have to take a look at the market opportunity and the service provider spend in light of cable and in light of web services. And also telcos of course and each of these have a very different set of drivers and the cable space for example there is a huge amount of demand on the network because of the video traffic. In the web services space its things like cloud data center interconnect and peering technology. And telcos the things like consolidation of different network functions into fewer networks that are capable of providing a multitude of different services. Network function virtualization and so forth. These are trends that have been in the market for some time and they will continue. Now there might be ebbs and flows if you will of spending in different parts of the market like in the core or on the edge and different architectural approaches that our customers take, might in fact put more pressure on certain parts of the market or network then in others. And again I will just go back to my statement that is just really important for us to make sure that we’ve got the solutions and the product that can satisfy those architectural trends irrespective of the way that they in fact play out or timing of how they play out. If you look at all that, and you look again at the broader definition of the service provider that I talked about I think that the opportunity for us to have a good revenue, its healthy growth in the TAM and a great product portfolio help that took advantage of it.
Kathleen Nemeth: Okay great, and operator we have time for one more question before we close today.
Operator: Thank you and the next question is from Paul Silverstein of Cowen and Company. Please go ahead.
Paul J. Silverstein – Cowen & Co. LLC: It’s always great to be last you can ask unlimited number of questions. Let me start off.
Kathleen Nemeth: Hi Paul.
Paul J. Silverstein – Cowen & Co. LLC: Hi Kathleen appreciate you taken the question. A couple of questions if I may first of, can you all talk about pricing trends in switching, co-routing and edge routing. In switching how much of the growth is new customers, how much is from existing customers and with the respect to existing customers how much of that growth is from a refresher or upgrades to the new 9200 relatively new 9200 platform from the older EX platforms and how much is more organic. And that on to security piece can you set some insight, I know you told us that the old NetScreen OS point products are now 15% down from 20% but with respect to the SRX. How much of the revenue is from the enterprise SRX which you have been struggling on track and how much is from the higher end product that’s been doing so well, as we try to understand going forward. One last question which is I know the legal expenses questions has been asked a lot, but my simple question is if then when legal expense comes back to normalized level is that over and above the OpEx reductions that you have projected in the IOP or is that part of the IOP projections?
Shaygan Kheradpir: Okay so we’ll go one at a time quickly. We start with the IOP question, we have a very rigorous disciplined execution path 4160 we are committed to 160 – and so that’s we leave it at that, so that I think it’s the moving parts, we are going to hit 160 in the glide path as Robyn went through and we put on our slide back.
Robyn Denholm: What was the other question?
Shaygan Kheradpir: Okay, on pricing Robyn, do you want to take a cover?
Robyn Denholm: Yes, Paul as I mentioned in my prepared remarks it is a competitive environment overall. And what you could see now in gross margin – our product gross margin, we are actually doing quite well on that. Year-over-year we saw a slight degradation due to mix, but quarter-over-quarter actually was only one can stand, and as you can see we are moving into different categories and that type of thing and our gross margins are doing very well. And so that’s because we are focused on innovation and differentiation with the product set. It’s also because we are focused on reducing our costs over time as well, and as a company we’ve had a huge focus on that over the past four to six quarters. Rami, do you want to add anything in terms of competitiveness.
Rami Rahim: No, that’s it. We focused on the parts of the market where the discussion with the customers certainly in both pricing, but it’s not purely about pricing it’s about a multitude of things and capabilities in addition to pricing and that’s what we do I think quite well.
Shaygan Kheradpir: And then I think that last one and maybe I’ll ask Robyn and Rami as well is I mean I coupled a last sort of two questionnaires, this company the diversity revenue now across those segment it’s just not that one segment, it is multiple segments and then when you overlay the dynamics of these segment with all the different types of workloads that they are trying to handle as they build their clouds in High IQ networks. It’s a – one size doesn’t fit all, right and we see that sort of in switching, security and routing like your questions on switching, mostly new customers, but its frankly when you look at the, that the type of workloads it is not sort of commodity closet switches. It’s actually quite interesting sort of the used cases that we handle. Rami, do you want to sort of take the switching question and I think that was also part of your question.
Rami Rahim: I don’t have an exact figure in my head of what the ratio is, it’s both. I mean we love selling to our customers chassis that are partly populated with lying card, whether they have been in switching, and routing or security because we are reserving self base that we can go and populate over a period of time, and there is a lot of that going on. But as we also mentioned in the prepared remarks and earlier in the Q&A, we’re winning global bank, we’re winning web services companies that are all leveraging our switching, routing and security products and that just adds on to our business some it’s the combination.
Robyn Denholm: So on the security side I can answer that for you Paul in terms of our Junos Space firewall security product, you were right it was less than 20% a year ago and now it’s less than 15% that’s related to the non-Junos Space products. In terms of the SRX products they grew 13% year-over-year and in terms of the contribution to that growth the majority in this quarter was service provider, but we also had year-over-year growth in terms of enterprise as well. And as Rami mentioned before some of the focus that we’ve had on the high end SRX over this last four quarters to actually improve the performance of that is equally applicable in terms of the branch SRX and those types of products and that’s what the team has focused on as we move forward here.
Kathleen Nemeth: Okay, great. So that is all the time that we have this afternoon. We appreciate your participation and all of your great questions, and we look forward to speaking with you again next quarter. Thank you so much everyone.
Operator: Thank you. Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time, and thank you for your participation.